Operator: Good day, and thank you for standing by. Welcome to the America's Car-Mart's First Quarter Fiscal 2025 Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Vickie Judy, Chief Financial Officer of America's Car-Mart. Please go ahead.
Vickie Judy: Good morning, and welcome to America's Car-Mart's first quarter fiscal year 2025 earnings call for the period ending July 31, 2024. Joining me today is Doug Campbell, our company's President and CEO. We've issued our earnings release earlier this morning and it is available on our website along with a slide detailing our cash-on-cash returns. We will post the transcript of our prepared remarks following this call and the Q&A session will be available through the webcast after the call. During today's call, certain statements we make may be considered forward-looking and inherently involve risks and uncertainties that could cause actual results to differ materially from management's present view. These statements are made pursuant to the safe harbor provision of the Private Securities Litigation Reform Act of 1995. The company cannot guarantee the accuracy of any forecast or estimate, nor does it undertake any obligation to update such forward-looking statements. For more information, including important cautionary notes, please see Part 1 of the company's annual report on Form 10-K for the fiscal year ended April 30, 2024, and our current and quarterly reports furnished to or filed with the Securities and Exchange Commission on Forms 8-K and 10-Q. Doug will start us off with his thoughts on the business and strategies for this fiscal year.
Doug Campbell: Thank you, Vickie. And thank you everyone for your interest in America's Car-Mart, and for joining us to hear more about our first quarter results. As I mentioned in the earnings release, I'm pleased about the improvement in sales volume versus the prior year when viewed sequentially. If you recall, we were down almost 20% in the third quarter. We then finished down 13.6% in the fourth quarter and have closed the gap to be just under 10% now. We're pleased that website traffic increased both year-over-year and sequentially, indicating strong consumer demand. However, application volumes were slightly softer, contributing to the decline in sales. We believe that part of this decline is the need for more affordable vehicles. We've been working hard to bring down the average retail price during the quarter. When viewed sequentially, we had a reduction of approximately $100 in the average retail price when you exclude ancillary products. Vehicle procurement prices are a good leading indicator for our average retail prices, and with the progress we've made during the quarter, we expect these benefits to both improve and continue. Gross margin continues to be a positive story, up 30 basis points for the quarter. We remain very focused on gross margin improvement through pricing discipline, reduced transportation costs and lower vehicle repair costs. The biggest challenge for our industry, and for us, is ensuring we match inventory levels and pricing to the demand and the type of consumer we're seeing in the marketplace. We've taken several actions in the value chain to lower vehicle acquisition costs, which means we can pass those savings on to our consumers. Our partnership with Cox Automotive is a key component in our plan to address affordability for consumers and improve gross profit margins for the company. Recall that this partnership is centrally managed, removing the day-to-day burden from our location managers to oversee the complete process for the disposal of our assets. We've been optimizing agreements with vehicle repair shops and consolidating suppliers to lower acquisition and transportation costs. We've set new expectations for vehicle quality, especially with preferred vendors, and continue to consolidate vehicle vendors. The vendor consolidation process is also improving title flow, which speeds up the time in getting inventory to the sales lot and then displayed online. For example, in fiscal year '23, we purchased an average of 10 vehicles from close to 400 vendors monthly. In fiscal year '24, we dropped that to roughly 270 vendors. And this year, we plan to bring that down to under 200 vendors. While we still need local relationships in many markets that we operate, the partnership with Cox Automotive is giving us additional options. Like any transition, the onboarding process of a new partner for our business operations is not without its challenges; however, we believe those are mainly behind us now as it relates to procurement and remarketing vehicles. I'll switch now to the customer-facing aspects of our business. The LOS is fully in place at 147 of our 156 dealerships. The remaining nine dealerships, which were acquired, are still in their earn-out period or have yet to be integrated. As of July 31, almost 40% of our total portfolio dollars originated within the LOS. The speed at accomplishing sales and financing process is at least one hour faster for each customer. Because more of these sales are starting online, it allows for a better overall customer experience, and we're pleased to see this kind of adoption, and it gives us additional data on consumer preferences and the prequalification trends we're seeing. The benefits from LOS that we discussed last quarter, which include curtailing originating terms, generating better deal structures, and ultimately improving loss rates, continue to build momentum. Deals originated through the loan origination system versus our legacy system have a lower frequency and severity of loss, thus producing a lower overall cumulative net loss rate than loans originated during the same period. This improvement is also very much in contrast with our back book of originations, which are now approximately 33% of our portfolio when looking at overall dollars from fiscal year '21 through fiscal year '23. I'll let Vickie get into more detail here in a moment on that. We're moving quickly to reshape our future without changing our core mission: keep customers on the road. Our initiatives are strengthening Car-Mart's competitive position, enhancing our ability to innovate, and increasing operational efficiency. I reported last quarter on the implementation of additional multi-year tech investments in our business, specifically an enterprise resource planning system, or ERP. This was a significant multi-year investment and it's weighing on our operating expense line. The benefits of this ERP conversion are designed to improve efficiency and operational flexibility within finance, accounting, and customer management functions, and provide capacity for growth. We went live on the system on May 1st and are confident that we can help provide leverage in SG&A. We also completed several important enhancements to our CRM during the quarter which are designed to assist us in credit application conversion. A better customer experience will drive higher conversions to sales. We're very pleased with the recent addition of the two dealerships at Texas Auto Center, which delivered strong results as expected in the quarter, including a record month in July. We have ambitious plans to grow America's Car-Mart and become a more dominant company in our segment. This is evident in the turnaround we're beginning to see. Our teams will be a key component of our success. I'll now turn the discussion over to Vickie for more details on our financials. Vickie?
Vickie Judy: Thanks, Doug, and good morning, everyone. In my commentary, the comparison that I will cover will be the first quarter of fiscal 2025 versus the first quarter of fiscal 2024, unless otherwise noted. Total revenues decreased $19 million, or 5.2%, largely due to a decline in retail units sold. Interest income increased by 7.2%, primarily due to the increase in the consumer contract interest rate to 18.25%, which was increased from 18% in December of 2023. The weighted average interest rate was 17.4% at July 31, 2024, compared to 17% [at July 31, 2023] (ph). As Doug pointed out earlier, our priority in both sourcing and sales is on vehicle affordability, as our customers are persistently squeezed by several economic factors affecting their paychecks. Average units sold per dealership per month were down from 34.2 to 30.9, or 9.6%. The average retail sales price was up 2.4%, primarily attributable to increases in ancillary products. We continue to balance the appropriate underwriting risk with sales volumes and have limited originations at a select number of dealerships to focus on collections and originating only the highest credit scoring applicants. This has contributed to lower productivity on average. Earlier, Doug explained that the back book of originations from fiscal '21 through fiscal '23 accounts for 33% of the portfolio, and that 40% of the portfolio originated through our new underwriting system. We're pleased with the benefits we're seeing on downpayments and deal structures. Downpayments for the quarter were up 20 basis points to 5.2%. While this is not an enormous increase overall, the distribution of the downpayment by customer score is improved and is expected to be significant in terms of customer success. This also builds on last quarter's sequential increase of 40 basis points on downpayments. Our average originating term was 44.3 months, down from the prior-year's quarter average of 44.7 months. Like the downpayment, we continue to fine-tune and optimize the distribution of the term by customer score. At the end of the quarter, the weighted average total contract term for the portfolio is 48.1 months. The weighted average age is 12 months, or up 16%. This should have positive impacts on the portfolio losses going forward and has contributed positively to the increased collections per active customer. Our management and dealer teams have worked hard to improve total collections, which increased 4.3% over last year. The monthly average total collected per active customer rose to $562 from $535. More customers are paying via digital channels, but it is valuable to leverage our hybrid approach because the local face-to-face relationship is a difference maker when they need contract modifications or assistance. Net charge-offs as a percentage of average finance receivables for the quarter were 6.4% compared to 5.8%. We experienced an increase in both the frequency and severity of losses, with severity accounting for approximately 65% of the increase. The majority of this increase continues to be from the back book of the fiscal year '22 and '23 originations. These originations now have a weighted average age of approximately 22 months at the end of July and are expected to have less of an impact on net charge-offs as we move forward. The net charge-off percentage is trending back to pre-pandemic averages and is closer to the low end of our historical range of 5.9% to 8.7%. Our priority is customer success and to work with them to resolve payment delinquencies before repossessing the vehicle. We're pleased that our delinquencies, or accounts over 30 days past due, dropped 90 basis points to 3.5% at quarter-end, and our recency was over 82% for the quarter. The results we're seeing from our LOS originations were the primary driver in a 30-basis-point improvement in our allowance for credit losses as a percentage of finance receivables, net of deferred revenue and accident protection plan claims. This puts the allowance at 25% at quarter-end, which resulted in a $4.3 million reduction in the provision for credit losses. Inventory levels at quarter-end were up $7.1 million compared to fiscal year-end, primarily due to the addition of our most recent acquisition, which added approximately $5.1 million to the inventory balance. Despite this addition, we reduced inventory by $2.6 million compared to the prior-year quarter-end. We've been sharing our cash-on-cash returns profile during this past fiscal year and are pleased that our originated contracts in the first quarter are expected to produce cash-on-cash returns of 72.4%. The supplemental material to the earnings release reflects our history of earning strong cash-on-cash returns in various market and macro-economic conditions. We're very focused on the quality of originations and deal structures to maximize these returns and profitability. Moving to SG&A. SG&A expense was $46.7 million. This was a slight increase compared to last year's first quarter. As mentioned in the release, we had over $2 million in savings in payroll and related costs due to prior cost-cutting measures. This was offset by increases in the licensing and expenses related to our technology implementations, along with the increased SG&A related to the acquisitions, which created some headwind in leveraging the SG&A on a per customer basis. As we move forward and gain efficiency from the new technology and build the customer base associated with the acquisitions, we expect to leverage the SG&A on a per customer account basis over the long term. We continue to focus on driving cost efficiencies and continue to execute on cost control measures. Interest expense increased by $4 million, or 28.3%, due to a rise in rates and secondarily an increase in debt. Our revolving credit facility and warehouse notes payable are floating rate debt, and we would benefit from lower rates if the prevailing thoughts on interest rate cuts come to fruition. As of July 31, we have $4.7 million in unrestricted cash and approximately $33 million in additional availability under our revolving credit facilities calculated on our borrowing base of receivables and inventory. Access to capital, with our revolving credit facility and a successful securitization program, give us flexibility and a distinct advantage over many of our smaller competitors. Now, let me turn things back to Doug.
Doug Campbell: Thanks, Vickie. We know that the economy is challenging for consumers, and we're undertaking many operational initiatives to improve certain aspects of our business. I'm proud of our associate value proposition and the dedication of our teams. Before we start the open Q&A, I'd like to reiterate our focus for the fiscal year: First, we want to continue to push for operational excellence on sales and collections as we leverage the technology recently installed and updated. This includes constantly looking at the return on invested capital at our stores and ensuring that we are focused on getting the best returns possible for our shareholders. Two, to improve the affordability for our consumers by reducing the average retail price during the fiscal year. There are several components to this plan, but we're well under way and will continue to see benefits here. Three, the continued optimization of our loan origination system. We're seeing its benefits, and I believe we're just scratching the surface. Our credit and underwriting teams are working to fully exploit the benefits of this system. Four, to capitalize on our partnership with Cox Automotive. I believe this to be a long-term partnership, and we are just getting out of the gates. I'm excited about the benefits for our shareholders and collective companies here. Five, is to implement our strategic plan and focus on acquisitions. We're actively in the market looking at opportunities and believe this is still the best return for our shareholders. I'd be remiss if I didn't mention just how important people are to our success, both existing talent and new talent that will round out our leadership team. Now, operator, please provide instructions to ask questions.
Operator: [Operator Instructions]
Vickie Judy: Operator, this is Vickie. We've gotten a couple of questions in from buy-side investors that I'd like to take.
Operator: Please proceed.
Vickie Judy: The first one says, "Can you explain the headwind in SG&A that's coming from your acquisitions?" Doug, I'll take this one. First of all, as we acquire these, day one, we acquire their SG&A, of course, with all of their dealership costs, their associates, but we're not acquiring their portfolio of customers. So, we're starting with the cost and no portfolio to go along with it. This last one we did with TAC was a little more impactful due to the size and we have visibility into leverage once this book is built out. The second question is regarding the back book. It says, "You've mentioned the back book and LOS origination several times. Can you explain how you think about the portfolio and how it sits today?" Doug, I'll let you take that one.
Doug Campbell: Okay. Good morning, everybody. I think if I had to break it up, I think if you go back to the second quarter of last year, we noted the back book. I don't think we used the words back book, but we spoke in detail about the losses that we were seeing from some of the pools originated in fiscal years '21, '22 and '23, and the effects on those and the severity that they had on the portfolio, and then the overall current environment, which was driving a frequency of loss at that time. And so, we still see that, but to a lesser effect. Back then, those loans represented greater than 50% of the portfolio. Today, as we sit, they're less than 33% of the portfolio. And so, as time goes on, they represent a smaller and smaller portion of the book. And so, that's a really positive story. And at the time, in the second quarter of last year, our LOS only accounted for about 10% of the portfolio. Today, that's about 40% of the portfolio. So, I'd like to sort of like look at those two chunks of businesses, call it the 73% of the book. The remaining portion of the book is really fiscal year '24 originations. And so, those have a really interesting story, because they're a combination of originations out of our legacy system and a combination of LOS originations towards the end of the year. What was interesting about fiscal year '24 is we had started tightening our underwriting standards at that time on our legacy system. And so, the original projections for those, if you go back four quarters ago, they had cash-on-cash returns projected at 59%, the subsequent quarter produced projections at 61.3%, then 62.9%, and the most recent projection is now at 64.4%. So, we continue to see favorability in that remainder of the 27% of the portfolio. So, I'd like to sort of think about fiscal year '24 and fiscal year '25 as sort of being really positive and a return to the norm. And the fiscal year '21 through '23, which accounts for just a third, as sort of the back book and a much lesser extent. And as we move forward here into the next quarter, we project those will account for an even smaller portion and LOS will account for greater than half of the portfolio. And we see those showing up both in the cash-on-cash returns and the favorability that we get in the provision adjustment. Now, I guess, I'll turn it back over to the operator to see if there's any more live questions.
Operator: Thank you. We do have a question from John Hecht with Jefferies. Your line is open.
John Hecht: Hey, guys. Thanks very much. Good to meet you, Doug, and Vickie, good to chat. So, appreciate you guys taking my questions and all the details on the call. I have a couple of questions. Number one is, you guys cited affordability as a key factor in the business now. And I think we've heard that elsewhere in the market too. And you guys have implemented a lot of strategies to reduce the cost, the cost of car acquisition and refurbishment and so forth. I'm wondering how much can that help affordability, just in things you can execute. And then, the second question that would be related to that is, what do you guys expect with used car prices and how might that impact the affordability issue?
Doug Campbell: Yeah, great question. Good to be with you, John. So, if I think about the affordability, we sort of started sketching out our fiscal year '25 business plan and affordability being a key component sort of last year December, January, and the actions that we would take to sort of accelerate that. One of those things is the Cox partnership on how we could repurchase some of the vehicles that are entering the marketplace, have Cox do those repairs and then produce units on our front lines that are going to help drive down the overall average in price. The affordability, why we sort of believe in that thesis that that's a bigger component and the biggest driver is that also we see that in the applicant side of the business. So, when we look at credit applicants, we've seen some softness in both the applicant income. And so, we want to address that we're trying to target getting where we have our loan origination system set and the PTI thresholds match to vehicles that would fit the consumers that are applying to us. And it's a moving target. And we do believe that they'll continue to be softest in the back half of the year in terms of pricing. August is sort of a little bit of a stalling, and I think that's a combination of a couple of different things, from the CDK outage and having dealers sort of pullback and get back in the market that it's creating a little bit of a blip on the radar, but we do believe that prices will continue to fall at a normalized rate for the balance of the year, John.
John Hecht: Great. That's very helpful. Thank you. And then, on credit, Vickie, I think you mentioned that you guys can identify a 30-basis-point improvement tied to the LOS system. How much of the portfolio is that touching? Is there more to go on that perspective of executing better credit?
Vickie Judy: Yeah, there's certainly more room there. So, as of the end of July, 40% of our portfolio had been originated on LOS and all of our dealerships except for nine of our acquisition lots are being originated -- their deals are being originated on our new system. So that's going to continue to have positive impacts and grow as we move forward each month.
Doug Campbell: Yeah. I'd add Vickie one other thing, the -- that 30-basis-point benefit, the result of that being the LOS, it's a combination of different factors, right, both qualitative and quantitative in that CECL analysis that are driving that, and the LOS had a more positive effect in that, but the net effect was the 30 basis points. And so, absent other factors, the increase would have been larger, but it's not how it works. We have to sort of look at all the factors there, but I hope that helps add some color to that as well.
John Hecht: Oh, for sure. Thank you very much. And my final question is just sort of on the competitive market, I mean, we've heard that a lot of the kind of smaller channels or smaller networks have been having tough times getting financing. So, I'm wondering if that's impacting kind of the competitive environment at all. Similarly, is there more acquisition opportunities because of some of the stress in the market?
Vickie Judy: Yeah, we continue to see that stress out there with some of the smaller competitors where they're just holding less inventory or financing less because of their ability to access credit. So that's certainly playing a role in this market. And yeah, we have visibility to several acquisition opportunities. We always want to ensure that we're able to integrate them and digest them at the appropriate method and not disrupt their business and that they're going to fit in well culturally with us and be accretive on day one. But we do have visibility into several -- fitting into our footprint is important as well so that we can ensure that we can service them and take care of them, but we continue to analyze those.
John Hecht: Wonderful, guys. Thank you so much.
Operator: Thank you. [Operator Instructions] Our next question comes from Vincent Caintic with BTIG. Your line is open.
Vincent Caintic: Hi, good morning. Thanks for taking my questions. First question is kind of a maybe broad industry question, but, on the affordability point, is there a price or sort of like how much does used car prices have to come down in order to get the demand to show up? We've talked about affordability for a while. So, I'm just trying to get a sense for what's maybe the limiting factor or how much prices have to come down for the demand to really ramp back up again. And then, the visibility on your sales volume. So, we have been seeing quarterly improvements in the year-over-year trajectory, but just wondering if you have that visibility into when we can expect growth again. Thanks.
Doug Campbell: Vickie, I'll take that one.
Vickie Judy: Okay.
Doug Campbell: Good morning, Vincent. How are you doing? So, in terms of visibility into sales, there's like -- there's a ton there. We look at website traffic as a leading indicator. And so, we feel really confident about that. We have probably five or six months in a row now where website traffic is in excess of 25% growth year-over-year. And so, that's certainly a leading indicator that expresses demand for the service in our offering. And we've seen credit applications sort of dovetail into that, but not the same level of strength. And those continue to bubble around a little bit. We see stronger online applications and then weaker applications at the lot level. In the aggregate, the total application volume might be 5% or 8% off year-over-year. From the sales side, we continue to convert at a better rate on those applications. And so, we're really pleased with that, but we'd like to see conversion stronger. And when we look at website activity and analytics around that, a lot of this is -- you can see the customer searching for vehicles and clicking through vehicles, and we might not just have the right vehicles to serve them. And so that sort of ties into our thesis on affordability. For us, given where we see application volumes, if we could take out $500 to $800 out of the procurement costs of the vehicle, that would put us in a really good spot and increase our addressable market. And so that's sort of what we're really focused on and thinking how quickly can we get that done in the balance of the calendar year. That is sort of like really where the teams are pushing hard and focused on. We started to see some of that price benefit show up here in the quarter when you look at just price by itself. Keep in mind, our average retail selling price are a combination of both our ancillary products and the sales price of the vehicle. So, we were able to take $100 out. And from a procurement standpoint, we should be able to see more benefits here in the upcoming quarters as well. Aside from that, when -- I guess it's sort of -- Vincent, if I'm new and I'm looking at this, the sales volume piece is a really tough question to answer in terms of like what does normal look like and how do we get back there. I don't think we've spoken as much on it, but like we've talked about performance managing locations. And to us, that's the restriction of capital when we see losses trending up and we get really sensitive about around that because we want to get the best return on invested capital. And so, we have -- if I look back at fiscal year '24, we had a 9% or 10% disconnect on sales from a year-over-year standpoint, Vickie, if I'm remembering correctly, a third of that was due to us performance managing locations and restricting capital. So, call that, that's probably somewhere just north of 2,000 units just from us performance managing locations. And so, when you're looking at this sort of year-over-year comparison, it's both a combination of what we see in the marketplace and actions we're taking internally to restrict capital to our highest performing stores. And I think that's the best thing for our shareholders and for us. And then, of course, if you layer in the fact that we've been more selective on the underwriting side, we've talked about that extensively and that's got to be a piece of it, right? There's certainly more customers we can take, but given the backdrop and the context of higher loan delinquency rates and default rates in the industry, we're trying to make sure that we take care of the customers that we do have and that is sort of front and center. And I think there's some positive tailwinds, right? We made an upgrade to our CRM during the quarter, which should also aid in conversion. We're working on sales price, which should help overall sales volume. And then, I touched on the addition of our Head of Underwriting last quarter. And so, the underwriting team is working on ways we can grow sales volume, which look like risk-based pricing, right? And so, that would be another functionality of the LOS tool that we really haven't spoken about, but we expect to deploy that during the calendar year. And that would allow us to do a lot of things that allow us to go deeper and price loans differently if we needed to go deeper down the funnel or to go up funnel to keep more of our repeat customers who might be defecting and looking at other competitors. And so, we're excited about the levers that we have in the business now.
Vickie Judy: Doug, I would just add, these should pay dividends as we move forward, particularly as we are a little more cautious on our underwriting. And then, we're still taking charge-offs on this back book due to the pricing from the prior two years. But as we move forward, this will really be a benefit in terms of net charge-offs, especially if we can build back retail units as well.
Vincent Caintic: Great. That's super helpful detail. Thank you for that. So, that $500 to $800 cost per vehicle, if you can take that out, that puts you in a good spot. And then, actually, if you could talk a little bit more about that performance managing location? So, restricting capital to that underperforming stores, that would have been 2,000 units by your math. If you can talk about what you're doing there to get those underperforming stores to be better, or otherwise, using that capital -- allocating that capital better that would be helpful to understand. Thank you.
Doug Campbell: Yeah, sure, Vincent. That part is not that complicated. We sort of restrict the amount of inventory and get really selective on the underwriting standpoint on what we're allowing them to put on the road, because we're seeing default rates at those stores that are unacceptable. And so, we were trying to figure out is that a function of the environment or what's going on in the town or is that a lack of operational execution. And so, once they sort of get added to the list, we become hyper-focused on what that looks like, which has an impact on sales, right? And so, that's that portion of it. When we see a turnaround in that, we will sort of take off the restriction in capital and then start to feather in underwriting standards that are a little bit looser. For the ones that we don't see turning around, then we'll wind down locations. And so, we have a couple of those that are in that state. If you look just over the last year, we closed three locations, and that's got to be sort of a more active piece of our repertoire on how we manage the business going forward as far as I'm concerned. We need to be making sure we're looking out at that and more closely at that, especially that all the tailwinds of the pandemic are gone. You really have to sort of stay very close and attuned to that. So that's a piece of our business on the operational side for sure.
Vincent Caintic: Okay, great. And then, two final questions and these are both just numbers questions. But if you could -- so in terms of your loss expectations between the fiscal 2022 and 2023 vintages, so the "back book" versus what you're underwriting to now in the 2024 and 2025 vintages, if you could maybe help us bifurcate like what your expectations are for what your underwriting to losses there? And then, the second last question is the -- if you're able to separate out the SG&A expense by your normal operating expense versus the technology investments versus -- and then the new store acquisitions? If you could maybe see what the normalized expenses would have been, that would be helpful to understand the SG&A? Thank you.
Vickie Judy: Sure. Maybe I'll start with the question you had on the back book, as we're calling it. If you look at our cash-on-cash returns table, I would point to the difference in our projected cash-on-cash returns there for the book of '23 going from 49% now to 64% in '24 and 72% in '25. And then, as we mentioned, 33% or so of the portfolio relates to that back book and that they're now 22 months aged. So, we're getting more than halfway through those contracts and they become a smaller and smaller portion of the business. And so, certainly as we move forward, that becomes a smaller piece of those net charge-offs each quarter.
Doug Campbell: On the SG&A piece, that is -- so if you look in just absolute dollars here, Vincent, we were fairly flat during the quarter, might have been a $200,000 difference in SG&A cost. And it might not look that impressive, but if you consider any other year, a five-year running average would normally have us up 10%-plus in SG&A. So, the fact that we're relatively flat, I call that a win. That's largely driven by some of the actions that we took last December in terms of cost cutting, which we anticipated to drive $4 million or $5 million worth of benefit on an annualized basis. And so, we're seeing that materialize now more meaningfully. And so, as an example, I think just on the payroll and payroll related costs, Vickie, for the quarter, we were down over $2 million in the quarter just...
Vickie Judy: Right.
Doug Campbell: ...on that metric by itself. The technology piece that you mentioned, so all this technology now that is now stood up, that does have an impact and it shows up in SG&A. And so, for us, I think, that's probably $1 million quarterly in terms of new expense that we're realizing, but that's been offset by some of the payroll cuts that we've taken in the past. I think there's more that we can do. We're hyper-focused on the management of SG&A. And the acquisitions don't sort of help that story early, because when you're just adding all the cost of new employees and you're buying multi-unit and multi-rooftop operations, you get all of their costs today with none of the benefit of the accounts that they would have. And so, this more recent acquisition should be able to take SG&A on a per account basis down fairly significantly, but we have to let their book build out, right? And so, there's a lot going on there sort of in the complexion of the SG&A. I appreciate your question. It's a thoughtful one. And I'm glad you asked.
Vincent Caintic: That is -- those are all super helpful. Thanks so much.
Doug Campbell: You got it, man.
Operator: Thank you. This concludes the question-and-answer session. I would now like to turn it back to Doug Campbell, President and CEO, for closing remarks.
Doug Campbell: Yeah. We remain focused on our strategic priorities and improving our operational financial performance with all the technology and innovation updates that we've made, including streamlining our cost structure and delivering affordability to our customers and looking forward to more acquisitions. Our management team is really committed to implementing these initiatives and to deliver additional value for our shareholders. And I want to thank you guys for joining the call today and your interest in America's Car-Mart. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.